Operator: Greetings, and welcome to the LSB Industries First Quarter 2015 Earnings Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Carol Oden. Please go ahead.
Carol Oden: Thank you. Good morning and welcome to the LSB Industries first quarter 2015 conference call. Today, LSB’s management participants are Barry Golsen, President and Chief Executive Officer; and Tony Shelby, Executive Vice President and Chief Financial Officer. Jack Golsen, LSB’s Executive Chairman and Mark Behrman, LSB’s Senior Vice President of Corporate Development and designated successor to Tony Shelby as CFO, will also join the Q&A session after the prepared comments. This conference call is being broadcast live over the Internet and is also being recorded. An archive of the webcast will be available shortly after the call on our website at www.lsbindustries.com. After comments by management, a question-and-answer session will be held. Instructions for asking questions will be provided at that time. And now, I will turn the call over to Mr. Barry Golsen. Please turn to page three of the presentation.
Barry Golsen: Good morning. Thank you for joining our conference call today. Let me start off by discussing some first quarter highlights. We are pleased to report to you that our first quarter results showed solid year-over-year improvements, excluding the benefit of insurance recoveries in the first quarter of 2014. This primarily reflects the progress we’re making toward two of our key initiative and overall improvement on the on-stream rates at our chemical facilities and particularly significant improvement at our Pryor facility. Later, Tony will go into more details on these. Sales grew 8.6% for the quarter compared to the first quarter of 2014. Adjusted operating income increased 16.3 million to 14.2 million and adjusted EPS increased $0.54 to $0.28 per share. This reflects the reliability initiatives we’ve been implementing over the past two months at our chemical facilities that are resulting in increased overall production with Pryor leading the way. Pryor’s on-stream rate and ammonia production volume increased for the quarter to 92% and to approximately 52,000 tons respectively versus 39% and 21,000 tons in the first quarter of 2014. First quarter sales and bookings for our Climate Control business was strong growing 8% and 5% respectively compared to the prior year period despite the previously disclosed exploration of our sales agreement with Carrier for heat pumps in the second quarter of 2014. Excluding Carrier heat pump business during the first quarter of 2014, Q1 2015 sales and booking increased 20% and 18% respectively. We expect to continue to capitalize on the strengthening demand environment which given the operating leverage inherent in our Climate Control business should lead to margin expansion. Turning to page four, I’d like to discuss the market outlook for our chemical business. Focusing on the general outlook for the agricultural markets we serve, indicators for our agricultural products are generally positive. While grain stock to ratios both worldwide and in the U.S. are currently at or above 10 year averages, planting levels are expected to remain generally high although slightly lower than the recent past due to record crop harvest over the last two years. Industry expectations are that approximately 88 million to 89 million acres of corn will be planted in the upcoming season about 2% less than the previous season. While weather impacted parts of the country, ammonia application has been strong with strong UAN application season expected to follow. In addition, natural gas prices remain at relatively low levels partially offsetting some selling price compression. Current market prices for corn and wheat are slightly lower than a year ago but yields per acre have increased over the last several years. All indications are that growers will continue to use nitrogen products to maximize yields. The good news is that North American nitrogen fertilizer producers including our chemical business currently have the lowest delivered cost to North America relative to foreign producers. Therefore, we believe that if there is less demand for nitrogen fertilizers in the upcoming season, it will affect importers before it affects domestic producers. At this time, while certain parts of the western United States are in extreme drought conditions, the majority of the markets we serve appear to be in good planting condition. Finally, Chinese urea is subject to lower export tariffs and Chinese exports have increased. Prices for urea declined through the first quarter but it rebounded in April as the spring applications season started. Prices could resume a downward trajectory to the extent that the price of Chinese coal, feedstock for Chinese urea drops but this remains to be seated[ph]. The amount in price of imported Chinese urea could have an impact on pricing of all nitrogen fertilizer products as urea at some price level could be a substitute for other nitrogen products. Overall, we continue to be optimistic about the market fundamentals for agricultural business. As to the industrial markets we serve, most indicators are as the economy remains healthy so the demand for the products we provide to various industries. With respect to our mining products, the U.S. Energy Information Administration is forecasting a 7% decline in coal production for 2015 given the expectation for continued low natural gas prices. This, combined with the exploration of our agreement with Orica in early April is expected to result in lower sales and profits related to industrial grade ammonium nitrate for the current year. To-date we have replaced approximately 70% of these AN volume that had been formally been committed to Orica with new customer commitments, however these new agreements will not go into full effect until 2016 when our El Dorado facility is able to produce its own ammonia and our products become cost competitive. We’re currently in negotiations with other potential customers of industrial grade ammonium nitrate for most of the balance of our production capacity that had previously been associated with Orica and expect to have most of that in place when we start up the ammonia plant at El Dorado in the first quarter of 2016. Turning to our top Climate Control business outlook on page five, we ended the first quarter with a healthy backlog, a robust level of quote activity and a strong pipeline of identified projects, all of which we anticipate will result in higher sales for the balance of the year compared to 2014. The sectors that are performing the strongest for us are multi-family education and hospitality. In addition to the business activity we are experiencing, Dodge Analytics Construction Market Forecasting Service predicts that there will be a 7% increase in constructions starts during 2015 in the commercial and institutional markets that comprise most of our business and that by 2017 there’ll be a 28% increase over 2014 levels in these sectors. In addition, the Architectural Billings Index has been positive most of last year indicating growing non-residential construction 9-12 months out. Finally, the outlook for continued growth in green energy efficient construction continues to be good. In summary, the general consensus to most economists and construction industry experts is that the construction recovery will continue a positive indicator for our Climate Control business. We’re optimistic about the prospects for growth and the operating leverage we anticipate will accompany that growth. Now I’ll turn the call over to Tony who will go into more detail about our financial performance.
Tony Shelby: Thanks, Barry. As indicated, our first quarter results reflect significant improvement when compared to first quarter last year as adjusted. As previously disclosed the first quarter 2014 includes the benefit of $28 million of insurance recoveries. During this review, I will discuss 2014 results as reported and as adjusted to exclude the benefit of insurance recovers in the 2014 first quarter and the highlight to quarter-over-quarter improvement. Please turn to page six of the presentation for the first quarter 2015 results compared to 2014. Net sales increased 8.6% of $15 million primarily driven by increase in chemical sales of $11.6 million and an increase in Climate Control $4.9 million. Operating income was 14.2 million compared to an adjusted operated loss of 2.1 million, an increase of 16.3 million reflecting the improved results of our chemical business. EBITDA was 23.6 million compared to adjusted EBITDA of 6.7 million, an increase of 16.3 million, again reflecting the significant improvement in our chemical business. Included in SG&A for both quarters where advisor fees related to certain shareholder proposals in the amount of 1.7 million at 2015 and 14.2 million in 2014. Earnings per share $0.28 per diluted common share for the quarter compared to approximate loss of $0.26 as adjusted for 2014. Turning to page seven, the chemical business operating income for 2015 versus 2014 as adjusted, increased to $16 million. The increase in operating income includes certain favorable market conditions including sales price increases for ammonia and Ag rate ammonium nitrate, offset by lower UAN process directly related to imports will be in China which tends to pull down ammonium nitrate and UAN prices. Higher costs of El Dorado facility for purchased ammonia and approximately 2.4 million negative effect lower net prices received for natural gas sales from a working interest in the Marcellus. The primary driver of our sales and operating income growth in the quarter was a sustained on-stream production rate and Pryor’s ammonium plant which resulted in increased sales volume of our agricultural products compared to 2014 when the ammonium plant was down for the majority of that quarter. Partially offsetting the strong performance in Pryor was El Dorado facility which continues to be challenged by the high cost of purchased ammonia and lost approximately $4 million for the quarter. This trend will continue until the new ammonia plant is operational. The long-term type of pay agreement with Orica [indiscernible] in April of this year. As mentioned previously, we have contracted replaced approximately 70% of that volume. Due to current market conditions, some part of that volume likely won’t develop until we have gas to ammonia production and we’re cost competitive. Turning to page eight, net sales of our Climate Control business in the quarter were $65 million, an increase of $5 million or 8%. The sales increase was primarily driven by higher sales of our hydronic fan coils and custom air handlers. Our sales of heat pumps decreased in the quarter. However, excluding Carrier heat pump sales included in the first quarter of ‘14, heat pump sales increased 16% as compared to the first quarter of 2014. Additionally, when excluding Carrier heat pump sales, commercial institutional product sales increased 20% and residential product sales increased 22%. These sales increases reflect the increased order levels we are experiencing and the increasing backlog. Gross margins were lower at 30.7% compared to 32% last year, reflecting a shift in product mix we discussed last quarter. We believe that as we continue to build heat pump sales to gross margin will improve the historical levels. While gross profit was up, operating income and EBITDA were flat for the prior year, reflecting higher variable selling expenses due to distribution channel mix. Turning to page nine for liquidity and capital resources, for a full review of our capital structure March 31, 2015, total cash and investments were $211 million and total debt was $456 million with a net leverage ratio of 3.1 times. Additional available working capital was provided by $100 million undrawn working capital revolver facility, current availability provided by this facility based on the underwriting collateral is $76 million. As previously mentioned, before the end of 2015 we expect to add certain discrete pieces of equipment including the El Dorado expansion project, including the natural gas pipeline, the Baytown[ph] facility and ammonia storage tank for a combined total of approximately $55 million. We received financing on the natural gas pipeline on April of approximately 16 million. Looking at cash flow first quarter 2015 summarized on page 10, after cash use for capital expenditures $67 million, cash investments has increased by $62 million. Total cash will continue to decline through 2015. We continue to generate cash from operations but given the current investments we’re making El Dorado free cash will remain negi[ph]. That will continue through the end of this year as we complete the build out of the El Dorado facility’s expansion project. Moving to page 11 for a summary of capital expenditures, as shown here the planned capital expenditures for the remainder of 2015, will be between $227 million and $276 million including the $262 million and $197 million for the El Dorado expansion projects. Also included in the total are upgrades to our plants to maintain compliance with environmental regulations and guidelines and other renewable and improvement projects. As a reminder, we expect this spending to be funded by cash investments, internally generated cash flow and the third party financings. As noted on the lower right hand corner of this page, total estimated cost of the El Dorado expansion project is expected to be $495 million to $520 million reflecting our continued status of on time and on budget. That concludes an overview of the current results of operations, liquidity and capital resources and financial conditions. Please see the quarterly report 10-Q available online this morning for a more comprehensive analysis and disclosure. I’ll now turn back to Barry to discuss the status of our plants and expansion projects.
Barry Golsen: Thanks, Tony. Page 12, updates and status of each of our chemical facilities; in a nutshell, all facilities are performing as expected. Cherokee and Pryor are currently operating at rates of approximately 500 tons and slightly over 650 tons per day of ammonia respectively. Cherokee does not have a turnaround plan this year, as its move to a two year major turnaround schedule and Pryor currently has a turnaround scheduled for July. El Dorado is producing at expected rates, however, it is producing less industrial grade ammonium nitrate as a result of the lower demand for mining products. The Baytown operation is performing at targeted production levels, and by the way recently celebrated its 10th year with no loss time injuries at that site. Page 13 details the status of the El Dorado ammonia plant expansion project which will provide ammonia for onsite upgraded products at a significant cost savings and have the capacity to product additional ammonia for sale. The engineering effort is now approximately 97% complete and the project timeline is now driven by executing the construction process. Piping installation is now underway and it is our main focus before installing controls and electrical equipments. In addition to the ammonia plant being constructed at El Dorado, we are adding a 65% Weatherly nitric acid plant and concentrator to replace the direct strong nitric acid plant that was destroyed in 2012 while also adding capacity. The timeline for this part of the project is on page 14th. At this time, the nitric acid concentrator is mechanically complete and control systems have been installed. Pre-commissioning work will be starting over the next few weeks. On page 15, there is a recent photograph of the ammonia plant on the top of the page. You can see in the picture that foundations, concrete pads and many large vessels have been installed, structural steel and cooling tower are also effectively complete as is the de-mineralized water tank. Work is progressing well on the primary reformer and we have installed all three of the major compressors. Below you can see a recent photo of the 65% nitric acid plant and concentrator. At this time, we expect the El Dorado expansion projects to be completed on time and on budget. We expect the acid plant and concentrator to be complete by midyear and to begin production in the third quarter of 2015 and the ammonia plant construction and commissioning to be completed by the end of 2015, with ammonia production start-up and ramp up during the first quarter of 2016. On page 16, we outlined our second quarter 2015 chemical sales volume outlook. We anticipate another strong - a quarter of strong sales volumes. Finally, I’d like to switch focus to the vision for LSB’s future on page 17, 18 and 19. As we’ve described to you over the past several conference call, we’re focusing on value drivers, projects and initiatives that has the potential to be transformative to the company. We expect all of these initiatives to drive improved operating performance, enhance profitability and shareholder value creation. We have also included targeted business metrics and segment EBITDA for both of our businesses. Since we’ve reviewed all these with you before, they are here for reference only and I will not repeat them. Summing up, our efforts over the past several years to strengthen the reliability of our chemical operations are already yielding substantial improvement in on-stream rates, production volume, sales and profits. We’re on track with our chemical expansion projects at El Dorado, however, El Dorado will continue to operate at a loss until the projects are completed and the new plants are operational. Bookings and backlog are strong in our Climate Control business and we expect that this will translate into higher sales volumes with improved margins through operating leverage. The first quarter 2015, while still far from what we know our company is capable of achieving, represents a positive step towards delivering sustainable, profitable revenue growth in both our businesses. We remain confident in our prospects for continued performance improvement for the balance of 2015 and expect a material expansion of profitability beginning in 2016 when our new capacity at El Dorado is up and running. We believe that the strategic improvements we’re making to bolster returns in both our Chemical and Climate Control businesses will allow us to capitalize on improving market condition and drive enhanced value for all of our shareholders. On a final note, I’d like to mention that we will be presenting at the BMO Farm-to-Market Conference, on May 20th in New York City, and the Avondale Partners Industrial Conference on June 3rd also in New York City, we hope to see some of you there. There is one other thing that I’d like to address. As we previously announced, effective at our annual meeting, there will be a significant management change. Tony Shelby will transition out of the role of CFO and that assignment will be assumed by Mark Behrman, who many of you know. Tony plans to continue to be a key part of the management team at LSB until he retires at the end of the year. So this will probably be Tony’s last conference call as CFO, although he might participate in future conference calls. I would like to take a moment, at this time, to personally thank Tony for his many years of hard work, dedication, commitment and loyalty. Tony joined LSB at 1968 and helped Jack take the company public in 1969. Over the years, Tony has effectively managed the LSB financial organization, has been a key player in every financing we have done and has also been directly involved in many aspects of our operations including all acquisitions. Tony and I had also worked together closely over the past several years on investor relations initiatives. For many years Tony was also an active member of our Board of Directors. To sum it up, Tony’s been part of the core management team that has built LSB from $13 million of revenue in 1969 to the company we are today, positioned for more growth over the next few years. There are really no words that I can say to adequately express our gratitude to Tony for his contributions. So I’ll simply say, thank you, Tony.
Tony Shelby: Thank you.
Barry Golsen: With that, I will turn it over to the moderator to open up for questions.
Operator: Thank you. We thank you all for listening today. Before we open up for questions, we ask you, please limit yourselves to three questions so that others have a chance to ask their questions. You may drop out and enter the queue back at that time. [Operator Instructions]. Our first question today is coming from Dan Mannes from Avondale Partners. Please proceed with your question.
Dan Mannes: Thanks. Good morning, everyone.
Tony Shelby: Hey, how are you?
Barry Golsen: Hi, Dan.
Dan Mannes: I’m doing good. First of all, Tony I didn’t realize this was your last call hopefully you’ll be on for the next. I’ve really enjoyed working with you in the last couple of years, so hopefully you’ll enjoy your time at the end of the year.
Tony Shelby: Thanks, Dan. You’ve done an excellent job also and been very perspective of issues.
Dan Mannes: You got it. So a couple of quick questions here, and I want to preface this by saying we were pretty please with the progress you’re making at - we’re seeing a lot less volatility in the numbers now, it’s getting a little easier to model. But, with that said, as I look at your volume guidance for Q2, it looks fairly similar to what you actually did for Q1. I guess we expected a little bit more seasonality. Is this a function of where your inventory levels are, or demand? Could you may be give us more color on Q2 outlook on Chemical volumes?
Barry Golsen: Hey, Dan. How are you? So if you look at - you’re right, I mean it was pretty similar to Q1 volumes, but also if you look at Q2 last year, I think pretty similar to those volumes as well. If you remember last year, Pryor was down from most of the first quarter, but came back up in the second quarter. So Pryor and Cherokee went at pretty good rates. So we’re kind of look at the volumes that we think they were pretty in line with what we would have expected base on last quarter and same quarter last year.
Dan Mannes: But if you think about this, if you were running cleanly over the course of a full year, would you anticipate kind of building volume in an effort to sell more in the second quarter? Would you assume that in a normal year, you would generally see similar levels Q1 and Q2?
Barry Golsen: I think you’d probably see similar levels you may have different product mix. I think that’s some of the issue. Remember, from a storage standpoint, we’re little bit different than everyone else. We don’t have substantial storage to generally what we’re producing, we’re selling.
Dan Mannes: One other quick one, on El Dorado, appreciate the color in terms of losses in the quarter and we certainly understand that the challenges you’re facing as you’re buying ammonia. But given the loss of the Orica contract, should we assume not only are you going to incur similar situations you did in Q1? Should we assume things probably got worst for the next couple of quarters before they remediate next year?
Tony Shelby: You’re absolutely right, Dan. There is going to be some incremental increase over what we did in the first quarter but keep in mind, we’re also expensing preparatory cost for ammonia plant, so there’s going to be some additions there. But a lot of it is going to depend on the production level at El Dorado, you’ll see some fall off in absorption because of the lack of type of pay going forward. So, there’ll be - but you’ll also see some stronger volumes at Ag rate ammonium rate will offset part of that in the second quarter.
Dan Mannes: And then my last question, this call is actually kind of timely, since you guys have said once El Dorado is up and running, you’re certainly going to look hard at the MLP option. I wanted to ask given the reason IRS proposal, what your read was on that, understanding that it’s just a proposal and not final? And what, if any, impacts that has on your thought process?
Barry Golsen: Yeah, this is Barry, and I think you just said it. It’s just a proposal, it’s not definitive at this time. So we’re in a wait and see mode to determine where the IRS ultimately comes down. When it comes to where - are thinking this really is a Board of Directors question for LSB and we’re not going to get ahead of the Board of Directors in making a decision about what the decision will ultimately be when we reconsider the possibility of an MLP.
Dan Mannes: But to that point, given the fact that it’s a proposal, you’re not willing to weigh in on if you had the flexibility in your operations to continue to pursue, you’re going to leave that for a later day?
Barry Golsen: Yeah, I’m going to leave that for a later day for the experts and for the Board of Directors.
Dan Mannes: Understood. I was going to say, I know you have a legal background may be just not a tax on legal background.
Barry Golsen: This happens to be an area a specialty even within the legal world. So, we’ll leave it to the experts when the time’s right, when the IRS ultimately comes down with their final rule.
Dan Mannes: Understood. Thanks for all the color guys.
Tony Shelby: Thanks, Dan.
Operator: Thank you. Our next question is coming from Joe Mondillo from Sidoti & Company. Please proceed with your question.
Joseph Mondillo: Hi, guys. Good morning.
Barry Golsen: Good morning.
Joseph Mondillo: I was wondering, aside from pricing within the chemical side as well as on the natural gas side, if you push sort of the dynamics of how that affects the business, I’m wondering how you will look at the gross margin that you posted in the first quarter? In other words, I’m just trying to figure out how you’re looking at - how efficient these plants are running on a production basis as well as on a cost structure basis?
Mark Behrman: At our two plants that are using natural gas today so we Pryor and Cherokee, we’re pretty happy with the margins. Actually, with Cherokee we talked to you last quarter about the downtime we had and really how that might have affect the first quarter because we’re going into the quarter with some lower inventories. So you had sales numbers that where we expected them to be, but we had sales commitments that we had to cover. So there was, in one instance, a case where we had a barge that we bought, that obviously had some effect on margin and both gross margin and actual margin dollars. So with the two plants that we have today that are natural gas base, we’re happy with the margins. Clearly, we talked and pointed out about the struggle that we have in El Dorado so that happens to big weigh in on our margins.
Tony Shelby: And I think what Mark’s referring to also is that we’re happy with our margin because the on-stream rate was very high during the quarter for both of those plants which drives the margin, then you have to deal with the price versus cost of gas for the rest of it.
Joseph Mondillo: Okay. So in regard to El Dorado, obviously that’s a focal point of not concerned but certainly some improvement upside and you’re certainly going to see that when you see the capacity expansion come online. You guys have had sort of 90 million EBITDA projection of benefits once you get that expansion online. However, it seems like over the last 12, 18 months, couple of dynamics, as you lost the mining production with the Orica deal where you had to transfer over some of the production over to, I guess it’s high density AN. And as pricing unfavorably shifted that the losses increased with that plant, so I’m wondering if that dynamic can ever sort of reverse how it’s occurred over the last 18 months? And it seems like you’ve maintained that 90 million EBITDA benefit at El Dorado over this entire time period, if it that dynamic does sort of reverse, could we see a lot more upside on the benefit once the capacity comes online?
Barry Golsen: Joe, if you’ll notice on page 18, I think Mark’s done a pretty good job of indicating where we’re going based upon using that 90 million, but it’s based upon 2014 actual. So to the extent that El Dorado has been impacted by high ammonia purchase cost this year, your starting point may be lower so the 90 million could have been higher. But if you look at page 18, I think you have pretty good indication of how we get to the 2017 target of 200 million. Do you agree, Mark?
Mark Behrman: Joe, by point of reference I think historically we referenced this between produced and purchased ammonia for $300 and you can see in our earnings release, we stated that the spread would have been $290 in the first quarter, so approximating the $300. So I think the assumptions that we have still hold true.
Joseph Mondillo: Okay.
Barry Golsen: So Joe, this is Barry. So this is got three part answer, if you’ll go back and look at the fourth quarter conference call, we also included a sensitivity analysis which we did not put in the appendix on this one, since --
Joseph Mondillo: Yeah, I got that.
Barry Golsen: But we basically try to metrics the potential changes in selling prices of our products and we used ammonia as a proxy for that and the different prices of natural gas. So you could see the effects of those changes.
Joseph Mondillo: Okay. I guess my last question and I’ll hop back in queue, related to I’ll focus on the Climate Control business. The margin there certainly was quite weak under what I was looking for. Could you just talk about how you’re thinking about margin in the near term? I know you put out the 2017 goals where you can see yourself going over the next several years, but looking at this year I guess, how are you thinking about the margin that you put up in the first quarter and what you’re looking at sort of for the rest of the year?
Barry Golsen: Well, the primary driver of the lower margin in the first quarter had to do with mix. And we’ve looked at the project for the balance of the year from the various operations. And we think as the year progresses, and I think Tony might have mentioned this in the scripted part of the conversation, that as the year progresses, we expect the mix to normalize to more or less previous levels and expect to see that margin increase.
Mark Behrman: I think Joe, one of the things that we’re dealing with a little bit is in two of our product lines, there are bit more established and they are bit larger right? And our heat pump business and our fan coil business, so based on sales volume and capacity utilization, they’re absorbing all of their fixed overhead. With our smaller product lines, as they are growing, they are going to grow into similar margins but they are not quite there yet. So, I think we’ll see that throughout the balance of the year.
Joseph Mondillo: Okay, great. Thanks for taking my questions.
Operator: Thank you. Our next question today is coming from Keith Maher from Singular Research. Please proceed with your question.
Keith Maher: Good morning. I did might have labor the point, in the Chemical business just in terms of the gross margin pressure, and I understand a lot of it is pricing issue between purchased ammonia at El Dorado. But, do you see anything in the near term that might help with that, I know you probably can’t say prices, but do you think there’s something that we could see any improvement this year or do we just have to wait for the plant expansion?
Tony Shelby: I think the only thing it’s really pointing to Keith would be the pressure’s going to be off of ammonia pretty soon I think and you could see some weakness in the ammonia price which could impact that.
Keith Maher: And I think you mentioned there were some start up costs that are hitting by the Chemical business, can you quantify that?
Tony Shelby: Keith, we’re capitalizing costs that are specific to the building of the plant, but we’re expensing off all of the people that we got onboard training for the start up, the ammonia plant, the acid plant. So if we’re training people that are not producing but simply training, we’re expensing that, and I think the number is in the range of $500,000 to $600,000 a month - I mean per quarter.
Keith Maher: All right. That’s helpful. Is there any - could you give us any update on the job search with the new Chemical business that might be coming along or when you might be interested in hiring someone?
Barry Golsen: It’s coming along. We’re still in relatively early stages of that, but as it progresses when we openly make a selection we’ll certainly let you know.
Keith Maher: And may be one final question, with regards to SG&A, obviously your fees for the related to some of these active shareholder issues, soon to be going away, should we expect those to go away completely this quarter or is there any other guidance you can give on the SG&A?
Barry Golsen: I think the way to look at that is that we have a settlement agreement, the major impact is behind us. There will be some continuing cost because it’s still a strategic committee but it’s not going to be nearly as significant as it has been in the past.
Mark Behrman: But you may see a similar amount in the second quarter that you saw in the first quarter as we finalize all the costs related to the --
Keith Maher: Okay. Well thanks a lot of guys. I’ll hop back in queue.
Operator: Thank you. [Operator Instructions]. Our next question today is coming from Brent Rystorm from Feltl. Please proceed with your question. Mr. Rystorm your line is online perhaps your phone is on mute.
Tony Shelby: Good morning, Brent.
Brent Rystorm: Good morning. Can you hear me now?
Tony Shelby: Yes.
Brent Rystorm: All right. Can you give us a quick sense of how you’re thinking about as we ramp up the nitric acid plant and the ammonia plant, how the depreciation is going to start to get expenses and then what losses might look like for the first quarter as those operate?
Mark Behrman: We had trouble hearing the last part of your question. It’s garbled due to the transmission. Could you repeat it please?
Brent Rystorm: So, could you give us a sense of how the depreciation expenses might ramp for the two expansions as they come online? And then also, I’m expecting they would operate at a loss from a cash perspective at least the first quarter they’re open. Could you give us a little sense in that as well?
Barry Golsen: Let me address the depreciation issue first and Mark will discuss the rest of it. I think what you’re going to see Brent is during the third and fourth quarters you’ll see some of these projects being turn keyed and we begin to depreciate projects unless they are turn keyed and in production. And you’ll also see less and less interest being capitalized as these projects are turn keyed because we under gap capitalize the interest base for the fact that they are in construction launch we stop capitalize interest and began depreciation.
Mark Behrman: As far as the loss or the cash loss in the first quarter, I would assume that that’s a correct assumption. As we’ve said earlier, we’re going to start up the ammonia plant in the first quarter and we would - we ourselves anticipate not generating a lot of production in that first quarter and then hitting it to the second quarter at an acceptable level of production.
Brent Rystorm: Great. That’s very helpful. Thank you. I’m curious if you have thoughts on CS comments yesterday about ammonia production balances shifting from market sale going into the new and production facility that’s been added there. With the - there’s going to be less ammonia in the market in the third and fourth quarter of this year, it’s twofold, does that present a cost issue for you by having less ammonia available in the market and possibly raising prices in the back half of the year? But then also have an opportunity for you with ammonia from Cherokee and Pryor being able to go into those markets?
Mark Behrman: Well, first of all, in Cherokee we’re a net ammonia buyer because we’re about 40,000 tons per year short. In Pryor, we’re a net ammonia seller of somewhere between 80,000 and 90,000 tons per year when it’s operating at full rate. As far as El Dorado, we’re a buyer of ammonia but --
Tony Shelby: Brent I think the more important there is that you’re exactly right, the more UAN urea has produced UAN the better the three ammonia so we come on board ‘16 with ammonia is going to be a benefit. It could, you’re right it could have an impact on fourth quarter ammonia costs but that’s little bit far from our radar screen right now.
Barry Golsen: I guess it would also depend on what offsetting imports there of ammonia. I mean ammonia is more a global supply and demand product than any of the Ag products are. So we just depend on what else around the globe has outages or was down it was being diverted what will happen with the price.
Brent Rystorm: Fair enough. And final question, when you talk about the Climate Control growth opportunity that the out service sources you were referencing earlier, both for ‘15 and then through ‘17, how do you view your Climate Control growth opportunity relative to those expectations? Do you think you’ll hold share, do you think you’ll gain share? Thank you.
Barry Golsen: Our objective is to gain share and whether we achieve that is yet to be seen, but we certainly have put a lot of initiatives in place with the aim at gaining share.
Brent Rystorm: Thanks guys.
Mark Behrman: Let me add a little color to that. We have our core business which is more or less about 75% to 80% of that business, we have significant leading market shares already. So gaining shares in those sectors is somewhat more difficult than gaining shares in the category that we call, Other, which are smaller businesses which inherently have less total market shares. So there is more to gain there. But we do believe that it’s possible to gain share across the board it’s a matter of degree.
Brent Rystorm: So the worst case would be you hold your market share and you should be able to drive your business relative to the rate cited?
Barry Golsen: That’s right.
Brent Rystorm: Great. Thanks guys.
Operator: Thank you. Our next question today is a follow up from Joe Mondillo from Sidoti & Company. Please proceed with your question.
Joseph Mondillo: Hi, guys. Just a couple of clarification or a couple of questions, follow ups. So, I’m wondering is the - are you anticipating the El Dorado losses or the profitability rephrase that, this year to be - are you expecting the losses to be larger this year than last year?
Barry Golsen: Yes.
Joseph Mondillo: Okay. And the 90 million plus guidance on the EBITDA for the expansion project is based on the 2014 financials, is that correct?
Mark Behrman: Well the $90 million guidance is based on $500 ammonia prices and $5 natural gas prices.
Joseph Mondillo: But the streamline chart that you have shows that - it’s not compared to 2014 it’s just an additional $90 million when it comes online?
Barry Golsen: Exactly.
Joseph Mondillo: Isn’t there a dynamic though given the fact that I guess what I’m trying to get at is, isn’t there a dynamic that the losses are getting larger last year to this year because of the prices of ammonia and what you’re selling it at? But then, the whole dynamic of the plant changes overnight starting next year, where the higher price of that ammonia you’re going to benefit from because you’re going to be selling at that price and you’ll be producing your own ammonia. So I’m just trying to understand how that dynamic I guess works?
Mark Behrman: I mean it’s pretty simple, you go from an unprofitable plant to an extremely profitable plant right? I mean you’re going from a plant that has to purchase ammonia and is at cost disadvantage to as you said immediately the dynamics change when that comes on and we got as we’ve said 220,000 tons or so of ammonia that we’re purchasing today that we can say approximately $300 a ton on plus we’ve got another 155,000 ton of ammonia that we’ll produce that we can sell. So the dynamics of the plant do a complete 180.
Joseph Mondillo: So, I mean wouldn’t the benefit of the plant be much larger compared to 2015 than compared to 2014?
Mark Behrman: I don’t know about much larger, but it’s going to be somewhat larger, yes.
Barry Golsen: That chart’s pretty clear there, Joe. The 90 million is based upon the 2014 $54 million, that’s the starting point.
Joseph Mondillo: Right. And that’s sort of what I’m trying to get at if the losses are much larger this year, would that 90 million benefit, theoretically be larger than what you’re showing?
Barry Golsen: Assuming that all the market conditions are exactly as predicted in the model, the answer would be that it would be somewhat greater okay? But there are a lot of variables here as we know including the selling prices of our products, the price of ammonia on the market, the price of natural gas etcetera. So this was based on a set of assumptions that Mark mentioned before $5 and $500 for natural gas and ammonia respectively. And so you have to look at that grid that we gave you and you have to consider on the sensitivity and consider that when you try to calculate where you think we’re going to be.
Tony Shelby: And it also anticipation running the high density low density ammonium nitrate full out not at a lower rate which is what we experienced in ‘15. So once you start replacing all that volume, you’ll get back to the initial assumption in that $90 million number.
Joseph Mondillo: Okay. In terms of the 4 million loss that you saw in the first quarter, it sounds like the second quarter could be a bit smaller but in terms of seasonality, should we anticipate - you mentioned that if ammonia prices start to fall which they seemingly have, that could be a benefit but then you also have the seasonality aspect where volume probably will be lower in the back half of the year. So how do you look at the back half of the year regarding that 4 million of losses that you saw in the first quarter?
Barry Golsen: I think Dan Mannes asked the question earlier, could we see larger quarterly losses above the $4 million that we’ve outlined for this quarter and the answer was yes.
Joseph Mondillo: Okay. I missed that. Sorry about that. And then just lastly, your liquidity right now, how are you looking at that? Are you anticipating potentially having to tap your revolver in the back half of the year? Just wondering if you could talk about liquidity.
Barry Golsen: I think we’ve talked about it, but essentially the $100 million working capital revolver is there to fund increase or decrease as working capital requirements not in long-term investments. So we don’t anticipate using that.
Joseph Mondillo: Okay. So the liquidity that you are in hand right now, you feel like it’s going to be enough?
Mark Behrman: Yeah, we do.
Joseph Mondillo: Okay. Alright. Thanks.
Operator: Thank you. We’ve reached at the end of our question-and-answer session. I’d like to turn the floor back over to management for further and closing comments.
Barry Golsen: Okay. So I’d like to thank you again for participating today. And I’d like at this time to turn the call over to Carol Oden with some closing comments particularly relating to forward-looking statements.
Carol Oden: Thank you. Information reported on this call speaks only as of today May 08, 2015. You’re advised that time-sensitive information may no longer be accurate at the time of any replay. The comments today and the information contained in the presentation materials contain certain forward-looking statements. All these statements, other than statements of historical facts are forward-looking statements. Statements include the words expect, intend, plans, beliefs, project, anticipate or making similar statements of the future or forward-looking statements nature are identified as forward-looking statements. Including, but not limited to any references to the future natural gas costs, ammonia costs and the outlook for Chemical or Climate Control business. The forward-looking statements included, but are not limited to the following statements. Continued on the strengthening demand environment, margin expansion, market outlook of our Chemical business, planting levels, UAN, applications seasons. Growers will continue to use nitrogen products, demand for nitrogen fertilizer, impact of Chinese urea, market sentimental for our agricultural business sales and profits related to industrial grade, ammonium nitrate for the current year, potential customers of industrial grade ammonium nitrate, Climate Control business outlook, prospects of growth, operating leverage expected El Dorado expansion projects to be completed on time and on budget. Expect that acid plants and concentrator to be complete and to begin production in the third quarter 2015 and the ammonia plant construction and commissioning to be completed the end of 2015 with ammonia production start up and ramp up during the first quarter of 2016. Chemical sales, volume outlook, value drivers, projects and initiatives, improved performance, enhanced profitability and shareholder value creation, targeted business metrics and segment EBITDA. El Dorado will continue to operate in loss until the projects are completed and the new plants are operational. Higher sales with improved margins, prospects for continued performance, improvement, management material expansion of profitability beginning at 2016. You should not rely on the forward-looking statements, because actual events or results may differ materially from those indicated by these forward-looking statements as a result of a number of important factors. We incorporate the risks and uncertainties discussed under the heading Risk Factors and a special note regarding forward-looking statements in our Form 10-K for the fiscal year ended December 31, 2014 and our Form 10-Q for the quarter ending March 31, 2015 which contain a discussion of a variety of factors which could cause the future outcome to differ materially from the forward-looking statements discussed in this conference call. We undertake no duty to update the information contained in this conference call or the conference call presentation. The term EBITDA as used in this presentation is net income plus interest expense, depreciation, amortization, income taxes and certain non-cash charges unless otherwise described. EBITDA is not a measurement of financial performance under GAAP and should not be considered as an alternative to GAAP measurement. The company believes that investors consider EBITDA, a useful means of measuring our ability to meet our debt service obligations and evaluating our financial performance. EBITDA has limitations as it does not reflect all items of income or cash flows that affect the company’s financial performance and GAAP and should not be considered in isolation or as a substitute for net income, operating income, cash flow from operations or other consolidated cash flow data prepared in the quarters with GAAP. The reconciliation to GAAP and any EBITDA numbers as of the three months ended March 31, 2015 and March 31, 2014 and trading 12 months ended March 31, 2015 and March 31, 2014 discussed in this conference call are included in the appendix of this presentation. And that ends our conference call.